Operator: Greetings and welcome to the Crane Holdings Company Fourth Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Jason Feldman, Vice President of Investor Relations. Thank you. You may begin.
Jason Feldman: Thank you, operator and good day, everyone. Welcome to our fourth quarter 2022 earnings release conference call. I'm Jason Feldman, Vice President of Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Senior Vice President and Chief Financial Officer; and Aaron Saak, who is President and Chief Executive Officer of the Future Post separation Crane NXT. We'll start off our call with a few prepared remarks, after which we will respond to questions. Just a reminder that the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report 10-K and subsequent filings pertaining to forward-looking statements. Also, during the call, we'll be using some non-GAAP numbers which are reconciled with the comparable GAAP numbers and tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com in the Investor Relations section. Now, let me turn the call over to Max.
Max Mitchell: Thank you, Jason. Good morning, everyone. Thanks for joining the call today. Well, we had an exceptional end of 2022 with outstanding fourth quarter results. Fourth quarter adjusted EPS was $2.13, an increase of 63%, compared to last year. We have broad-based strong operational execution with core sales up 11% and we drove adjusted operating margins up 660 basis points to a record 18.6%. On a full-year basis, adjusted EPS was a record $7.88, up 15% compared to last year, driven by 6.4% core sales growth and 220 basis points of margin expansion to a record full-year adjusted operating margin of 17.7%. Adjusted free cash flow of $395 million was also very strong and above the high-end of our last guidance range. As a reminder, last quarter we reaffirmed and tightened our adjusted EPS guidance range to $7.58 to $7.72 dollars with a $7.65 midpoint. At that time, we said that we felt that the high-end of guidance could only be achieved, if we had supply chain improvement and an ability to turn specific shipments quickly. We actually saw that play out in each of our businesses with a bit of unanticipated upside all aligning. With the biggest impact in the last few days of the quarter. While there are still broad based and random supply chain constraints across our businesses, we did receive shipments from a number of suppliers that we honestly didn't expect and our teams did an incredible job turning them into sales for our customers quickly. We also had some favourable tax items that contributed about $0.04 to EPS as well. Really just a perfect alignment of unexpected, but good news very late in the quarter and solid work by our teams and my thanks to all of our associates for the year end effort. To put this annual performance in perspective another way, remember that operationally, we maintained guidance to all year despite numerous headwinds, specifically since 2022 guidance was originally issued last January, we lost $0.25 of contribution from crane supply, which was divested in May 2022. Foreign exchange was an increasing headwind throughout the year and was a $0.19 headwind relative to original guidance, most of it from rate moves during the third quarter. The supply chain environment when ’22 was far more challenging than most anticipated a year ago, and there was substantial inflation, spanning materials, freight, labor, energy, and other costs. Even with those headwinds, we held the mid-point of our guidance, while absorbing and offsetting all of these items. And then on a full-year basis delivered results substantially better, which again is a real testament to the hard work and dedication of our teams around the world. And the strength of the crane business system and our execution. These results should give you even further continued confidence in our execution and our ability to over deliver on our commitments as we turn to our outlook for 2023 and the upcoming strategic separation into two independent public companies. Rich will be providing guidance details for both companies post separation reflecting exciting long-term growth opportunities for each. Specific to demand environment, our leading indicators are still very strong. Core year-over-year orders increased 15% in the quarter and 13% for the full -year. Core backlog is up 28%, compared to last year. While the present environment is still similar today to what we saw in the second half of ’22 and we still see continued robust demand across our end markets, we remain guarded watching carefully for signs of softening. Other than the RV market where the softness is well-known and understood, we are not seeing slowdown in our order rates yet. However, given broader macroeconomic trends, we are planning for slowing short cycle markets, particularly those in the U.K. and Europe, which are most impacted by energy inflation. From a supply chain perspective, material and component availability remain most challenging, but stable in our Aerospace and Electronics segment with continued, but slow improvement in the other segments. We do expect supply chain constraints to ease over the course of the year, but at a gradual and measured pace. From a cost and inflation perspective, as you can see from our continued margin strength, we've been appropriately assertive with pricing actions across all of our businesses and we continue to fully offset the impact of inflation on both a dollar and margin basis. While 2023 macroeconomic planning assumptions are muted, I couldn't be more excited about the growth opportunities that we have in front of us for both Crane Company and Crane NXT. In any type of demand and operating environment, we are positioned to drive above market growth with our strategic initiatives. This is where we are most focused across the organization, driving growth and advancing technology that has positioned our businesses for the future. We will provide more detail in March, but just a few recent highlights, include Aerospace and Electronics securing substantial new content on the Army's FLRAA Helicopter platform. The Army's largest Helicopter contract in 40-years. In addition, we have been selected to develop several products and systems for application on the next generation of long-range strike and fighter aircraft including brake. Brake control thermal management and fuel management equipment, this is the direct result of the strategy we shared with you in May 2021 targeting next generation technology demonstrator programs. At Process Flow technologies, we successfully launched the next generation digital transducers driving value and award-winning key OEM accounts in the mobile hydraulic system sector and now testing successfully with OEMs for hydrogen applications. With product sales set to grow 4 times in 2023, although from a small base today. We also are gaining traction with our new high efficiency motors and non-clog pump performance with 50% sales growth for these products in municipal wastewater applications as customers realize significant energy and maintenance savings. We had new installations in more than 100 municipalities in 2022 with substantial growth expected again in 2023. Just an incredible amount of activity across our businesses focused on growth. And we are making steady progress on the separation. We're on track for completion April 3 of this year. We continue to have high conviction that this separation is going to create value as it increases our operating and financial flexibility to pursue growth opportunities. It lets us develop capital allocation is for both Crane Company and Crane NXT that are optimized for their individual business and financial profiles. The separation will make it far easier for each company to attract shareholder base fully aligned with each business's strong and distinct value proposition. And we believe it will make M&A more viable at both companies. Simply, the separation will create two more closely aligned pure play companies, each better positioned to deliver long-term growth and sustainable value creation for all of its stakeholders. Significant milestones achieved during the fourth quarter included completion of the organizational design for each company. The announcement of Aaron Saak as CEO of Crane NXT and you'll hear from Aaron shortly this morning. Public filing of the Form 10 registration statement and completion of the capital structure designed for both companies that Rich will review later. Key upcoming milestones to watch for. We expect the Form 10 registration statement to become effective in February pending SEC approval. We will announce further details of the board composition for both companies, as well as the extended leadership team for Crane NXT between now and separation. We will be hosting separate Investor Day events for both Crane Company and Crane NXT on March 9 in New York City and When-Issued trading will commence in mid to late March. We feel very good about our progress to-date and our ability to achieve our targeted timeline. On last quarter's call, I told you how extremely excited I was about Aaron's appointment as CEO of Crane NXT, and how I was highly confident that he is the right leader to embrace the best of Crane's culture and the Crane business system, while moving NXT strategically in new directions. After having the opportunity to work with Aaron over the last two months, I'm even more confident and excited that he is absolutely the ideal leader for NXT in this next chapter. We've spent the last few weeks traveling together, visiting nearly all of NXT's sites and his excitement, passion, insights and strategic observations are impressive. I had great fun introducing Aaron to his broader extended global team and they're very excited about this new entity about to be formed and what the future holds. So, with that, let me turn the call over to Aaron for some comments on his first two months at Crane before Rich provides additional financial commentary and guidance details. Aaron?
Aaron Saak: Thank you, Max, and thanks for those kind comments. I am incredibly excited for the future of NXT and would like to thank the Crane Board for their trust in my leadership, and I know they expectations are high and I am confident with the outstanding team we have here at NXT that the future is very bright. As Max mentioned, I've had the opportunity in the past two months to travel to all of our major sites and meet with our NXT associates. Our team has been incredibly welcoming and I appreciate their enthusiasm for our path forward. It's an outstanding team and one that I am honoured and humbled to be part of. Now in terms of my background, I'm an Engineer by training and I've spent my career with diverse well-known industrial technology companies. This background has given me a depth of experiences that I feel is uniquely positioned to help successfully lead NXT moving forward. In my most recent role, I had direct in-market overlap with NXT, so I'm really hitting the ground running and already working with the team to accelerate existing growth initiatives. I'm also passionate about innovation and delivering technology-based solutions to our customers. And we will continue to drive this focus at NXT and I look forward to sharing more about our strategy at our upcoming Investor Day on March 9. As I mentioned, over the past few weeks, I've visited all of our major NXT sites with Max and the Senior Leaders of the NXT business. During these visits, I've been incredibly impressed with the disciplined cadence and execution of CBS. The focus on continuous improvement and operational excellence, absolutely met and in many cases far exceeded my expectations. And it's exactly what I expected to see in joining Crane. I come from companies with a similar approach to driving continuous improvement and I can ensure our investors that we will maintain this capability as a competitive advantage for NXT. Additionally, I'm impressed that the new products and technologies the teams are commercializing. For example, at Crane Payment Innovations, the focus on automation to improve customers' productivity is really outstanding. This includes the Paypod platform with sales on track to double this year, as well as real momentum across the gaming sector where we have an extensive suite of market leading connectivity and service solutions. At Crane currency, the team has made great progress with our product authentication business, which nearly doubled in sales in 2022 and is on track to double again in 2023. This business is built on our micro-optic technology platform, which also continues to gain share in the banknote market adding 12 new denominations last year and bringing our total specified denominations around the world to 170. So Max, thanks again for the opportunity to introduce myself here today, and I look forward to spending time with investors in the coming months and during our Investor Day in March. And so, with that let me pass the discussion on to Rich.
Rich Maue: Thank you, Aaron, and good morning, everyone. I will start off with segment comments that will compare the fourth quarter of 2022 to 2021 excluding special items as outlined in our press release and slide presentation. At Aerospace and Electronics, fourth quarter sales accelerated increasing 15%, compared to last year to $181 million; segment margins of 20.6% increased 750 basis points from 13.1% last year, reflecting the combination of strong leverage on higher volumes, improved pricing and productivity. Pricing fully offset the impact of inflation in the quarter. Despite the impressive increase in core sales growth, we remain somewhat capacity constrained, due to continued supply chain issues along with the rest of the Aerospace industry and leading indicators reflect that demand continues to outpace the supply chain generally. Specifically, core orders increased an impressive 45%, compared to last year and core backlog increased 34%. In the quarter, total aftermarket sales increased to 25% with commercial aftermarket sales up 25% and military aftermarket up 23%. OE sales increased 11% in the quarter with 15% commercial OE growth and 7% military OE growth. At Process Flow technologies, sales of $252 million decreased 16%, driven by a 19% impact from the May divestiture of crane supply and a 5% impact from unfavourable foreign exchange. Core growth for Process Flow technologies remained very strong at 8%. Adjusted operating margins of 16.1% increased 180 basis points from last year, primarily reflecting strong productivity and pricing and here as well pricing continues to fully offset inflation. Compared to the prior year, core FX neutral orders increased 11% and core FX neutral backlog increased 16%. Sequentially, compared to the third quarter, core FX neutral backlog increased 1% and core FX neutral orders declined 3%, reflecting normal seasonality. Moving to Payment and Merchandising Technologies, sales of $338 million in the quarter increased 8%, driven by a 14% increase in core sales, partially offset by a 6% impact from unfavourable foreign exchange. Operating margins improved 740 basis points to 25.9%, the same level as last quarter's record margins. Margin expansion was driven by higher pricing, higher volumes and very strong productivity, another quarter of really impressive performance from the team. Forward-looking demand indicators also remained very strong with 10% core FX neutral order growth and 35% core FX neutral backlog growth. Specific to the CPI business, the supply chain remains constrained primarily related to certain electronic components, but we continue to see gradual improvement in both availability and lead times. At Engineered Materials, sales of $52 million increased 4%, compared to the prior year as expected. Operating profit margins increased 50 basis points to 11.8%, driven by higher pricing and productivity, partially offset by lower volumes. Growth was led by transportation and building products with RV-related sales down in line with the industry production rates. Moving on to total company results, on a full-year basis, free cash flow was negative $210 million, because of accounting rules, which treat the one-time contribution from the August divestiture of asbestos liabilities as an operating cash outflow and we had additional one-time costs related to both the asbestos transaction itself, as well as the separation. Excluding those items full-year cash flow, free cash flow of $395 million exceeded the high-end of our guidance range. Our balance sheet is in extremely good shape. We ended the year with $658 million in cash and $1.24 billion in total debt, so our net debt is $585 million a very comfortable level as we prepare to set up the capital structures for both companies post separation. Now turning to our 2023 guidance. I hope you have all seen the earnings presentation on our website that accompanies this call. A lot of important information to help you better understand our guidance and I will be referring to it throughout this section. We are on track with the separation to take place immediately after the first quarter on April 3 of this year, that means we will be reporting the first quarter of 2023 on a consolidated pre-separation basis and the following three quarters reported as two separate companies. For segment operating results, this is very straightforward. We are providing all segment guidance on a full-year basis, which will be easy to reconcile after we report each quarter this year. Below the segment operating profit line, we are providing guidance on a pro forma basis for corporate expense, interest and non-operating expense, tax and shares as if the separation occurred on January 1 and as if the two companies were separate for the entire year. Before we get into the details of each company's guidance on slide 20, I want to highlight two reporting changes we are going to make concurrent with the separation. First, at Crane Company, we will continue to include service costs for pension and other benefit plans in our adjusted earnings. Service cost reflects the real ongoing economic cost of providing pension benefits to certain associates. However, starting in 2020, we are going to exclude the components of non-operating benefit costs from adjusted earnings. We are going to treat these non-operating benefit costs as non-GAAP items, because they add volatility to earnings primarily as a result of capital allocation decisions and market performance neither of which are related to the operations of our business and that volatility can obscure our underlying operational performance. On slide 21, you can see that these non-operating pension benefit costs contributed $0.23 to adjusted EPS in 2022. The second change is at Crane NXT. Starting in 2023, we will exclude intangible amortization from adjusted earnings, adjusted operating profit and adjusted operating margin. This amortization is significantly impacted by the timing, size, number and nature of the acquisitions that we complete and it is entirely non-cash in nature. We think that adjusting for intangible amortization enables more consistent comparisons of operating results over time, as well as permitting better comparisons to peer companies. Importantly, even after this change, we expect approximately 100% free cash conversion at Crane NXT defined as free cash flow divided by adjusted net income. On slide 21, we provide a walk showing our 2022 actual results and recasting them to get a like-for-like comparison to what we are going to report in 2023. Starting with our 2022 adjusted EPS of $7.88 there are three adjustments. First, remember that we divested crane supply in May of 2022. In the first five months of 2022, that business contributed $0.25 to EPS. Second, the pension accounting change I discussed has the effect of reducing 2022 EPS by $0.23. And roughly offsetting those two items is the intangible amortization adjustment, which would have increased 2022 EPS by $0.61. The far-right bar on this slide showing recast 2022 adjusted EPS of $8.01, now represents 2022 adjusted EPS on an apples-to-apples basis to our 2023 guidance. So, with that context I'm going to start with guidance for Crane Company on slide 22. As a reminder, this business has about $2 billion in sales and is comprised of two global strategic growth platforms Aerospace and Electronics and Process Flow technologies, as well as the smaller and domestic engineered materials business. On slide 23, you can see that for 2023, we expect 3% to 5% core sales growth driving 8% segment profit growth. With all businesses leveraging at about 35%. This guidance assumes that the overall economy continues to slow with only gradual improvement in supply chain. That said, we are very well positioned to ramp output if macroeconomic and supply chain conditions permit. Specific to the businesses, at Aerospace and Electronics, we are guiding to 10% core sales growth with 35% operating leverage, which should bring margins to just under 20% for 2023. This is the guidance where we have direct line of sight and what we are confident that we can deliver in 2023. However, with 10% sales growth, we would have approximately $50 million of cumulative unmet demand by the end of this year related to supply chain constraints. How much of that $50 million gets delivered this year versus in 2024 will depend on how quickly the supply chain improves. However, the overall message for the segment is unchanged, we expect 7% to 9% long-term annual sales growth plus this $50 million catch up of sales in the next year or two with strong operating leverage in the 35% to 40% range, a really fantastic position to be in. Moving to Process Flow technologies. In 2023, we expect 4% core growth with a 2% unfavourable foreign exchange headwind for total sales growth of 2%. The core growth should leverage at 35% driving nearly 10% segment profit improvement with guidance for margins up just over 100 basis points to what will be a record just over 17%. We have a very strong backlog and recent order activity has been strong. However, given broader macroeconomic trends, our guidance does assume we will be seeing slowing in short cycle activity and decelerating order rates into 2023. Long-term, we believe this is a 3% to 5% core growth business reflecting a combination of lower market growth along with our continued growth through share gains and new product introductions and likely improving over time as our end market mix continues to improve. We should also deliver consistent leverage in the 35% to 40% range. We expect the much smaller Engineered Materials business to see sales decline about 15% in 2023, driven by recreational vehicle OE production cuts, softened by relative stability in the building products and transportation end markets. We expect to hold deleverage to 35%, which equates to margins of approximately 10.5% next year. So overall, operationally, core growth of about 4% driving 8% segment profit growth and with segment margins increasing 80 basis points to 17.4%. On slide 24, we provide the non-operational elements of Crane Company guidance. Remember, this portion of guidance is provided as if the separation had been completed January 1 of this year. The key items presented on a post separation annualized run rate basis include corporate expense of approximately $65 million in 2023 and declining as a percentage of sales thereafter. Net non-operating expense, which is interest expense and related financing costs of $16 million, a normal post separation adjusted tax rate of approximately 23% and diluted 2023 shares of $57.3 million. We aren't guiding to a specific free cash flow number for 2023, because of complexities of allocating first quarter cash flow to Crane Company and Crane NXT, but free cash flow conversion or adjusted free cash flow divided by adjusted net income should be approaching 100% in 2023 and beyond. Layering these items on the operational guidance results in expected 2023 adjusted EBITDA of $321 million with an EBITDA margin of 16.2%. For adjusted EPS on a pro forma basis, our 2023 guidance is a range of $3.40 to $3.70. From a cadence perspective, we expect quarterly earnings to be generally even through the year. On slide 25, we provide some more specificity about the post separation capital structure of Crane Company, very consistent with our prior commentary. At Separation, Crane Company's only expected debt is a new $300 million term loan. The proceeds from that term loan will be paid to Crane NXT as a dividend and we expect the initial interest rate on the term loan will approximate 6%. The term loan is variable and will be fully pre payable. We also expect to have a new revolving credit facility in the range of $400 million to $500 million undrawn at the time of separation and about $150 million to $200 million of cash. That implied net debt of $100 million to $150 million and a net debt-to-EBITDA ratio of less than 0.5 times. With that balance sheet, and cash generation profile, we very comfortably have more than $1 billion of M&A capacity at the time of separation and $2 billion to $2.5 billion in M&A capacity over the next three years. We will provide more details on our capital allocation policy at our March 9 Investor Day. We do expect that Crane Company will pay a competitive dividend, but the overall priority will be on growth both organically and through acquisitions. For Crane Company, the key message to remember for 2023 and beyond, with this business is that we are well positioned for a post-COVID recovery. Our end markets will see long-term growth driven by favourable secular trends, our investments are driving growth above market rates and given the margin structure of this business, operating leverage should result in segment operating profit growth at twice the rate of sales. Turning to Crane NXT's guidance. Crane NXT has about $1.4 billion in sales and is comprised of the Crane Currency and Crane Payment Innovations businesses. On slide 27, we provide operational guidance in the same format that we did for Crane Company. Overall, we expect 2% to 4% core sales growth and a slight decline in segment profit related to a temporary mix headwind at currency. The underlying assumptions are similar to Crane Company. We expect that the overall economy will continue to slow with only gradual improvement in the supply chain. Starting with CPI, we expect strong mid-single-digit core sales growth of 5% leveraging at 35% with 29% margins. And remember, those margins now exclude non-cash intangible amortization. Total sales growth of 4% includes a 150-basis point headwind from unfavourable foreign exchange. This growth rate is consistent with the historical long-term growth rate of CPI and driven by broad-based strength across verticals, as well as our market outgrowth initiatives. At Crane Currency, we expect flat core sales and a modest decline in margins to a still very impressive 24% roughly 2 times to 3 times the margin rate when we acquired the business in 2018. While there are few moving pieces, the overall story and positioning for the next several years is extremely exciting. The product authentication business is expected to double in 2023, albeit off a base that is still relatively small. An exciting growth business that you'll hear more about in March. The international banknote business is also performing extremely well and we have high confidence in our outlook supported by a strong backlog. On the U.S. side of business, the most recent Federal Reserve Yield Currency Order or YCO, which is publicly available, includes a very wide range of potential U.S. currency printing volumes for 2023. There are a few factors at play. Demand for U.S. banknotes remains very hot and we believe actual demand is aligned with the high-end of the YCO range of -- at $8.6 billion notes. However, the low-end of the range of $4.5 billion notes reflects the minimum amount of Bureau of Engraving and Printing committed to providing. We expect actual production to be somewhere toward the middle of that range. One reason for the large range is that the BEP is allocating production capacity to essential projects, most notably what they referred to as the Catalyst N. This is the redesign of the $10 note is expected to enter production in 2025 with a public release in 2026. The redesigned $10 note is expected to have substantial incremental security content. As we have stated before, while the final selection has been announced, we feel very good about our prospects for securing incremental content on this note given our historical relationship with the Federal Reserve and BEP. Remember, the $10 redesign will be followed by the $50 and the $20 bill later this decade and then eventually the $100 bill. These redesigns are an extremely exciting growth opportunity for Crane Currency over the course of the next several years. Further, the YCO NXT was heavily skewed to the $100 bill over the last two years, relative to the longer-term average, due to extremely high demand for high nomination store of value notes, particularly those for who want the security of U.S. Currency and other countries dealing with high inflation or hyperinflation, [Technical Issues] and COVID-related risks. This year the YCO was skewed towards the lower denomination. Transactional notes as in-person transactions continue to increase in a post-COVID environment. The transient headwind from combination potentially lower the U.S. government volumes in 2023 along with the banknote mix is the driver for our 2023 margin guidance. We are excited about the book of growth prospects, as well as the margin potential for this business as we move into 2024 and beyond. On a total segment basis, pre-corporate margins are expected to be quite resilient at approximately 27%. On slide 28, provide the non-operational elements of Crane NXT guidance. Just like Crane Company, this is being provided on a pro forma basis. [Technical Issues] items presented on a post separation annualized run rate basis include corporate expense of approximately $50 million in 2023 and declining as a percentage of sales thereafter. Net non-operating expense, which is primarily interest expense and related finance costs of approximately $47 million, normal post separation adjusted tax rate of approximately 20% and 2023 diluted shares of approximately $57.3. Similar to Crane Company, we aren't guiding to a specific free cash flow number at this time. Because we have to report first quarter on consolidated basis. We do however expect Crane NXT’s free cash conversion to be approximately 100% on average over time. Total adjusted EBITDA for 2023 is expected to be $364 million, reflecting a 26.8% adjusted EBITDA margin. Pro forma adjusted EPS is expected to be in a range of $3.65 to $3.95. From a cadence perspective, we expect operating earnings in the first quarter to contribute approximately 21% of the full-year. With the balance fairly evenly spread over the remaining three quarters and this is driven by the timing of currency shift. Slide 29 provides some additional details about the executive post separation capital structure. Crane NXT will retain Crane’s existing 2036 and 2048 bonds totalling $545 million. In addition, we expect that Crane NXT will have an initial term loan in the $300 million to $350 million range for total debt of $845 million to $895 million. The existing 2023 bonds will be repaid with the $300 cash dividend NXT will receive from Crane Company at time of separation. We also expect Crane NXT will have a new revolving credit facility in the range of $400 million to $500 million, undrawn at the time of separation and about $200 million to $250 million of cash. The implied net debt is approximately $650 million, which is between 1.5 times to 2 times net debt-to-EBITDA. With Crane NXT's balance sheet and cash generation profile, we expect Crane NXT to have approximately $1 billion in M&A capacity at the time of separation growing more than $2 billion by 2025. We will provide more details on capital allocation policy at the March 9 Investor Day. We do expect that Crane NXT will pay a competitive dividend, but with an overall strategic focus on growth both organically and through M&A. The key message for Crane NXT in 2023 and beyond is that it is a very strong, resilient and durable business with a long track record of delivering mid-single-digit organic growth, driving substantial margin expansion and executing on numerous successful high return acquisitions. Looking forward, NXT will continue to deliver profitable core growth, while leveraging its strong free cash flow to expand into near adjacencies where it can directly leverage its differentiated technology and operational capabilities. Moving to slide 30, we show the walk from our recast 2022 EPS on a like-for-like basis to our 2023 guidance and 2023 guidance combined for NXT and Crane Company. Operationally, Crane Company is guiding to growth of $0.33. Crane NXT for the reasons I just reviewed is seeing a slight operational decline of $0.10 and then we have some known and expected dyssynergies relative to our current structure from post -- excuse me, from post separation corporate costs and interest. Those latter two headwinds corporate and interest costs will continue to decline over time. That was quite a bit to cover, but we really wanted to take the time to clearly explain guidance and assumptions for 2023. Please review our addendum slides in detail and Jason stands ready to assist with any questions after the call. Let's now get on to Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Matt Summerville with D.A. Davidson. Please proceed with your questions.
Max Mitchell: Good morning, Matt.
Matt Summerville: Thanks. Good morning. Excuse me, a couple of questions. First, on Crane Currency. You talked about just a little bit, but flat core growth, the 17% OP decline, I guess I'm looking at it, $11 million in revenue, operating profit down $23 million. I mean the deleveraging effect there is just more substantial than I would have thought. And I guess I'm just trying to kind of handicap whether or not you're basically assuming sort of a doom’s day sort of scenario. And we've done quite a bit of work on that business and the trends there globally. And I guess so maybe a little bit more upbeat relative to this outlook. If you can maybe help that a little bit.
Max Mitchell: I'll take it, and then others can chime in as well, Matt. First of all, my compliments to you for your January 5 deep-dive Fed '23 print order, that is some incredible research. I would encourage investors to read the level of independent research that you did was -- is absolutely impressive. Look, if you think about where we've been where we are, and of course, the trajectory that we have as we move forward, leading up to COVID, the Fed used to published one number, and they absolutely took that number. Once we went into COVID, they moved into a range. and there was a lot of uncertainty. And we saw that play out in the mix and the mix change. The 100s were much higher than anyone anticipated as a store of value. And the Fed desired more notes than the BEP was even able to produce. Now we're moving into a range that's been somewhat lowered, but still a wide range. And Matt, even in the Fed's print order, this is all very positive news for us for the future, but it just paints a picture of a little bit of uncertainty in exactly how this is going to play out in ‘23. But when the Fed comes right out and says in their order of verbatim that they're allocating BEP production capacity to essential products to support the U.S. currency program strategic priorities that -- those priorities include producing a new banknote series with the signatures of the new Treasury and Secretary. So, they're absolutely trying to get to the new series, remediating deferred equipment maintenance, completing equipment upgrades, making note production process improvements, installing and validating new equipment and transitioning additional denominations to 50 subject-based sheets to improve efficiency and quality. Additionally, there was a shared Board and BEP support for allocating resources to achieve the planned security feature, that's us and bank note design milestones required to meet the Department of Treasuries announced 2026 issuance date. So, we got production in ‘25 for the Catalyst 10, which will require production of that note in ’25. So, I couldn't have been more pleased with the order the transparency of the Fed, the BEP. We have our planning assumptions. I can tell you that we have very high confidence in our plan. We certainly didn't want to go out with a number that had variability that we were concerned about achieving. If you feel that based on your modelling, things might come in a little stronger that's your prerogative. I think that from a Crane standpoint, I hope that investors understand over our history, we've been incredibly transparent. We have significant credibility we put numbers out there that we feel very confident we're going to achieve and we work like heck to try to overdrive from there. So, I don't know if you guys would have anything.
Rich Maue: I mean, Max, I think you nailed it. Look, when denominations shift within the U.S. government or even you compare the denominations between the U.S. government and international, it's all about the technology on the notes. And that creates this margin headwind, but it is all about the volumes that Max has highlighted and the mix.
Max Mitchell: And the mix…
Aaron Saak: Yes. And so…
Max Mitchell: And so, in this particular year, because they haven't had the same, it's not only more the low denomination in transactions, but it's also that they need to get back to their destruction rates to get the proper quality of bills in circulation. And so, you see a much heavier weighting to the ones as a bit of a catch-up and that mix, we just naturally have higher content on the $100 bill and higher denominations because of the security features involved versus the one, and that mix just is reading through. I mean it's just -- it is what it is. And with our careful prudent planning, this is -- we feel it's the right guidance to give.
Matt Summerville: Understood. Appreciate all that color, Max. Just as a follow-up, sticking with NXT. Could you give maybe a little bit more of a detailed overview into the demand trends you're seeing with CPI, the major end markets there, retail, gaming, transportation, et cetera, what a little bit more granular outlook might be around that mid-single-digit organic with the end markets? Thank you.
Max Mitchell: Aaron, you want to give that a go?
Aaron Saak: Sure, I will. Hey, thanks, Max, and thanks for the question, Matt. So, I think that's where we're very encouraged. As we go through each market and the ones you’ve listed obviously are the key end markets for us. We'll start with gaming as an example, we continue to see strength in that market, again, tending to a run rate of high single-digits in terms of demand and a backlog that's growing and that's not just for our core components hardware, but also for the services and the aftermarket connectivity solutions we have in that market that helps us in terms of share of wallet. You take that to retail; we're continuing to see the underlying trend of automation. I'd say that's the, you know, one of the primary threads of that market. That's where I come from in my background and it's extensible here into the CPI business. So again, both on our components, as well as into more of our systems solutions. And as I mentioned in my prepared remarks, Matt, we see Paypod doubling this year and that's our self-checkout solution again on the trends of automation. So again, I'd start to think about that as mid to high-single-digit growth. And then I think broadly, you've got to look at what was done here two years plus ago with Cummins-Allison and expanding into more of a system solution, but that recurring service that comes along. So, we have a high attachment rate on that service that’s accretive margin above fleet average and that's been very resilient and we continue particularly with deploying our operational excellence programs in CBS into that business to drive margin expansion. And I can tell you from looking at those businesses over the last few weeks, my background years ago in running large sales service businesses there's more margin expansion and more growth inside of that business as well. So very positive.
Matt Summerville: Great. Thank you, guys.
Max Mitchell: Thanks, Matt.
Rich Maue: Thanks, Matt.
Operator: Thank you. Our next question comes from the line of Damian Karas with UBS. Please proceed with your questions.
Max Mitchell: Good morning, Damian.
Damian Karas: Hey, good morning, everyone and Aaron, congrats on your new role. Great to have you on the call.
Aaron Saak: Hey, thanks, Damian. I really appreciate that. Thank you.
Damian Karas: Yes, absolutely and I appreciate all your guys' details -- through details on the guidance and everything. I just wanted to ask you first about Aerospace and Electronics. You mentioned you see yourselves outgrowing the market, but the 10% guidance does seem, kind of, low compared to, I think, more mid-teens to 20% outlook we've seen from some of the other large aerospace suppliers. So, it would be helpful if you could maybe just perhaps reconcile that and elaborate a little bit on how we should be thinking about this $50 million of unmet demand?
Max Mitchell: Yes, Damian, this is Max. I'll take a stab and then let's see Rich or Jason want to add in as well. Very similar comments to currency. Listen, right now, while the supply chain is stable, we are still -- we have extended lead times, and we're still reacting to the odd unpredictable outage here or there. So, we just don't see that significant improvement at all. It's -- outside of Crane, if I think of CPI and some of the electronic components we have there, it's -- lead times are starting to come in, you're starting to see that gradual slow improvement. It's very difficult to predict when A&E will supply chain will see significant improvement. We don't believe that's going to happen in the first six months of this year. As a matter of fact, look, as we triangulate on this, I think we're continuing to be careful, prudent and we're going to absolutely hit these numbers and have the opportunity to deliver upside if supply chain improves. I think what you're going to -- my hypothesis is, as we head into Q2 and Q3, you're going to hear people describe -- they were caught by surprise, because China reopening with COVID and then going right into the Chinese New Year. We're not seeing this in terms of any impact yet or inventory because those longer lead times are being delivered. I think you're going to see a little bit of a lag spike there, while I think long-term, China reopening is incredibly positive for the back half of the year that we're baking in all of the economic uncertainty that we continue to see if the Fed makes the wrong move. So, while the demand is going to continue to be very, very strong, we're being very careful and prudent on the supply chain. We are not seeing significant improvement in A&E yet. We anticipate it to gradually improve in the second half, but that's where our assumptions are. If you believe that supply chain is going to improve significantly faster, I would -- you can model that and make those assumptions, because if we get the supply, we'll be able to deliver. It's really that simple. We don't see any significant capacity constraints if we get it all tomorrow, turning it around immediately will be impossible. But we certainly are not significantly capacity constrained. This is how I think about it in the guidance. I don't know if you have anything.
Rich Maue: The only thing I would add is that there's nothing unique about our supply chain constraints too, just to make sure that, that's very clear. It's not like we're seeing something very unique to Crane. This is our guidance assumptions based on when we think the supply chain will or will not improve. I think it's important.
Max Mitchell: And I think we're very close to the details. And again, I would hope that investors give us credit for the credibility and transparency that we have historically provided and continued to.
Damian Karas: Understood. Appreciate your thoughts there. And then I wanted to ask you about corporate expense. I mean it just seems a bit higher than what you had previously communicated. So, what's happening there? And what's your plan to drive that down?
Max Mitchell: Yes. It is higher than our original target. As we continue to build out both teams and this is pros cons separation, it's going to be significant value creation in separating and focusing two new teams, but we have those dyssynergies’ with corporate costs. When we rolled up our initial estimates, we thought they were good targets as we pulled what is going to be required to support both teams and the growth that we are absolutely focused on. This is how it shook out. Now we didn't want to cut and just to hit the target. We want to staff up appropriately to support the continued transformation for both Crane and NXT. And we believe that we will absolutely grow into that expense line to lower as a percent of sales, that's the plan. That's how we're thinking about it.
Damian Karas: Makes sense. Thanks a lot. Best of luck.
Max Mitchell: Thanks, Damian.
Rich Maue: Thanks, Damian.
Operator: Thank you. Our next question is coming from the line of Kristine Liwag with Morgan Stanley. Please proceed with your question.
Kristine Liwag: Hey, good morning, guys.
Max Mitchell: Hi, Kristine.
Rich Maue: Hi, Kristine. Good morning.
Kristine Liwag: Hey, thank you for all the comments, Max, Rich and Aaron, I mean, Rich, I think you deserve a glass of water now. It's a lot to digest here.
Rich Maue: I thought, I had to try to be there and [indiscernible] I was trying to sneak a sip in here and there. I couldn't get it done.
Kristine Liwag: Yes. So maybe first off, Aaron, congratulations on your role. And look, I think this is a hard question. I know you'll provide more details on the upcoming Investor Day, but wanted to get a 30,000-foot view from you. When you kind of look at the past decade as Crane Co. had acquired more payment businesses, we've seen multiple compression for the stock. Now with Crane NXT as a standalone, how do you think about getting the market to put in a higher multiple for the business? What's your strategy for that? And then also a follow-up question to that is, look, if the public market doesn't give a higher multiple to match the quality of businesses in NXT, how do you think about refocusing efforts to cash return to shareholders with a heavy emphasis on buybacks? I mean, ultimately, if the public market doesn't value NXT as it should, does it make sense to be private instead?
Max Mitchell: Sure.
Rich Maue: Well, as usual an easy question from Kristine.
Max Mitchell: Yes.
Kristine Liwag: I could have saved it for the Investor Day, but I was hoping to get a little impatient and get one off here.
Aaron Saak: Yes. Hey, well, first of all, Kristine, thanks for those really nice remarks. I appreciate that quite a bit. And I think you know the answer as you've said we're really focused on telling the story at Investor Day and that's where we're going to be spending a lot of time outlining it. So let me frame it at least how I'm looking at it now to give you some conceptual model to think about how I'm seeing the business to some of the questions you're talking about on compression, but also long-term value to the shareholders. So, I think in any business and I think Crane has done a fantastic job putting together assets that are very strong core businesses. And Max has always talked about how we're starting the separation from a position of strength. I think you can see with the fourth quarter results and where we stand on our cash balances, that's absolutely true in margin profile of the businesses. And my observation is we have very strong healthy businesses with leading market positions mid to, in some cases, high single-digit growth or more in some of those businesses and very healthy backlogs that we're going to execute on going forward in ‘23 and beyond. And obviously, as Max alluded to and with Matt's question, lumpiness in this currency business in the U.S. government, but a wonderful long-term franchise that's very valuable to us. So strong core business. We want to continue to drive the operational excellence. I can tell you, as I said in my prepared remarks, Kristine, that this is an outstanding culture for CBS execution. And I see that, and we're going to continue to have opportunities and productivity that's going to lead to free cash flow generation. And as Rich said, that's going to be roughly 100% that we're going to put to work, first on growth. So, I think there's opportunities in our core business. We talked about product authentication. That's going to be a theme for us. And I think we feel very confident about that we have defensible moats around that business important technology that's leverageable and one we're going to continue to grow, both in the core currency business, but in new adjacent markets. I think you can also look to automation to the retail market where we're seeing growth in automation of workflows for a whole host of reasons, both in retail, and you can see that in gaming, financial services, et cetera, that's really aligned to secular tailwinds that we want to align in NXT too. And then you can take that further to near adjacencies in our service business, as I alluded to. And fundamentally, technologies that we probably haven't talked a lot about that are quite interesting and what our capabilities are in sensing -- in sensing and harsh environments that are -- where we do cash collection and validation. So, we're really taking a strong effort looking at this for me, my leadership team over the last several weeks and months since I've been a board, we're working with McKinsey to help formulate that strategy, and that's obviously what we're going to be talking about on March 9. And also, what we're going to target in terms of M&A and the discipline around M&A. And I would encourage to look at this history, as Max alluded to, a disciplined M&A deployment, that's a hallmark of Crane. It will continue to be the hallmark of Crane NXT to use our free cash flow to go into markets where we have defensible positions and generate a return to our shareholders and is not speculative, that is not where we will take NXT. And our strategy is coming together that I'm really excited to talk about in March. So let me address the second part of your question on shareholder value and return to shareholders. I think, number one, we start with a growth strategy that we're confident about, excited about, and we want to go execute. That's really job one for us. Certainly, as Rich alluded to, we're going to pay a competitive dividend along that journey. And we want to see that strategy play out. Certainly, over the course of time, we will always be open and look at our and re-evaluate our strategy and a good management team and company does that. But I think priority one is go execute on the growth agenda. And I think we feel very confident. I'm more excited here by the week as I visit our businesses that we have a lot of potential, both in the core and in near adjacencies. So perhaps a little longer answer, Kristine, but I hope you can tell my excitement and look forward to going in deeper in March.
Max Mitchell: Well said.
Kristine Liwag: Great. Thanks, Aaron. I kind of regret not going to Malta, when I had a chance a few years ago, wish I did that.
Aaron Saak: Oh, it’s wonderful. It's very impressive. You would come away as excited as I am, when you see that.
Max Mitchell: [Multiple Speakers] facility, absolutely limitations there.
Kristine Liwag: Great. And maybe as a switching gears, Max and Rich, following up on Process Flow Technologies, core FX-neutral orders were down 3% on the quarter. Can you provide more color on what you're seeing by end markets and how we should think about the outlook for the business, if, in fact, we do see a recession?
Rich Maue: Yes. Well, look, for the quarter, I would say just generally speaking, we had a good quarter from an orders point of view across PFT, right? When you look at project. We had some good project activity, a couple in Europe, a couple here in North America, China, actually as well. So, there were some just nice projects that did flow through in the quarter. But one I would tell you that we were expecting now whether that was expected to hit in December or January, some of them just happened to hit a little bit earlier, but overall, positive. On the MRO side, I would say that since probably around that October time frame and some of this is seasonally expected where you see that MRO demand tend to decline. We did see that. I would say so far as expected, both in North America and Europe. So absolutely, as we expected. Now the funnel of activities, I would say, is something that we're watching closely and to be cautious and careful about, and that's, frankly, I would say nothing new and all aligned with the way we set up our plans for 2023. So however, we have this backdrop of this wonderful backlog as we enter into 2023. We are seeing this underlying softness just a little bit. And we feel like with the supply chain that's in front of us and being a little bit cautious and careful, while improving slowly, I think the way I would think about our 2023 guidance is prudent as well in terms of how we framed up during our prepared remarks.
Max Mitchell: You mentioned the 3% down that was actually sequential, so year-over-year, it's up 11. FX core neutral FX neutral. Well, it was down sequentially, still very, still very stronger than I anticipated.
Rich Maue: Yes. The sequential is typical at this point of the year, Kristine, so from Q3 to Q4, we generally do see that slight downtick. But on a year-over-year basis, up double digits.
Kristine Liwag: Great. Thank you for that clarification. Appreciate it.
Max Mitchell: Sure, sure. Thanks, Kristine.
Operator: Thank you. Our next questions come from the line of Nathan Jones with Stifel. Please proceed with your questions.
Nathan Jones: Good morning, everyone.
Rich Maue: Good morning, Nathan.
Nathan Jones: I'm going to re-ask Kristine's question, because it was such a good one. If the market assigns the NXT business relatively low multiple, but it looks like it probably will when these businesses split up. How would it be possible for you to make a better return on capital by making inorganic investments rather than buying your own stock, given that this business is likely to throw off a ton of cash and an analysis of the present value of discounted cash flows should get at a much higher multiple. I don't understand why you wouldn't embark on an aggressive share repurchase campaign under those circumstances?
Max Mitchell: Well, I'll let Aaron take a stab out in a second, too. But I'll place Wager, friendly gentlemen's bet on the post trading range, getting closer to small, mid-industrial technology companies. I think that's what we're going to see, because that really -- when you really look at the underlying technology and margin profile of this business, as we've talked about, it's really quite unique and shouldn't be at that multiple. I think separating it, we hope investors are going to see that. Look, when you go to a stock buyback only, you're really saying that you have no other opportunities to provide value to shareholders other than core growth and just plough all that stock, all that cash back into stock. And I think there are a number of exciting opportunities that will far exceed return than simply stock buyback, if I just look at the economics. But there could be a debate on this and an argument. But that's clearly not the intent as we separate. I don't know, Aaron, if you have any other thoughts on value-creating options between full share buyback versus reinvesting inorganically.
Aaron Saak: Yes. No, I think that's right, Max. I mean when you look at this business, Nathan, in the last few years, we haven't really done a lot of M&A since 2019, effectively. And as we're looking at what's in our funnel, our pipeline where we can add value, we see a rich set of opportunities that are adjacencies to the core, help diversify the business. We think we can go in and add a lot of value, and that's what we're going to be talking about in the -- at the Investor Day of how we diversify. So that really is strategy one, and we want to go after that invest in the core, but allocate to the M&A funnel, that's rich and deep and diversified. Certainly, we'll always take a look as that strategy evolves, but again, I think we have a high confidence we can give value to the shareholders and execute the strategy very well over the coming several years.
Nathan Jones: Thanks for the commentary. Max, you talked about 15% core or FX. Can you give us some more details on price versus cost in the makeup of that? And then what you're looking at for price versus cost in 2023?
Max Mitchell: Yes. So, Nathan, so on the price cost in the quarter you're referring to and the next year, right? Is that what you…
Nathan Jones: In the quarter and in the order rate, yes.
Max Mitchell: Yes. So, I mean, in the quarter, we -- what I would say was a little bit different in the quarter relative to the first three quarters is that we saw volume a little bit more materially flips in the other direction in terms of being a contributor across some of the groups, which is a positive thing. Our pricing was, I would say, fairly accretive as well. So not just covering cost, we saw quite a bit of read through on our price, that disciplined cadence that we started a couple of years ago. So just good momentum, price cost, I would say it was accretive to our margin profile overall. Now as we look at next year, I would tell you that our pricing discipline is going to be, of course, intact and similar in terms of our approach. We're properly balancing price with demand. And as we see things shake out, our assumptions for next year, though are that price will continue to offset the cost profile in the business, and that's materials, labor freight and other types of costs that we experienced.
Nathan Jones: Should we say price carryover in -- from 2022 into 2023 that's actually make it accretive to earnings?
Max Mitchell: It depends on which business, but I would say on the margin, yes, but not as much as what we saw in 2022.
Nathan Jones: Okay. Thanks very much for taking my questions.
Max Mitchell: Thanks, Nathan.
Operator: Thanks. There are no further questions at this time. I would now like to hand the call back over to Max Mitchell for any closing comments.
Max Mitchell: Super, thank you. On track, exceeding expectations, strong close to 2022, well positioned for 2023 and beyond, another clear inflection point for value creation upon separation. As the late great Brazilian soccer star Pele said, "Success is no accident." It is hard work, perseverance, learning, studying sacrifice and most of all, love of what you are doing or learning to do. We love what we do at Crane and our team's success is no accident. I want to welcome Aaron Saak again, and we both look forward to presenting our new entities post-separation investor thesis to Investors March 9 in New York City. Thank you all, and have a great day.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.